Pål Kildemo: Welcome everyone here in Oslo, and also welcome to those of you following us on the webcast. Hydro’s second quarter results will be presented by CEO, Svein Richard Brandtzæg; and CFO, Eivind Kallevik. After the presentations, we will have time for questions and answers, and also one on one interviews with media present here in Oslo. Svein Richard?
Svein Richard Brandtzæg: The second quarter is from a volume point of view the best quarter during the year, and we also observed the seasonal effects this quarter. But the main factors that are influencing the results of Hydro is of course the global challenging situation for the aluminium industry. On the positive side, we see positive and good results of our improvement efforts with a temporary setback in Brazil, in Alunorte and I will come back to that, but also we see continued growth, and aluminium is still the fastest growing metal. The underlying results, NOK518 million of the second quarter is about NOK0.5 billion less than the previous quarter. It’s driven by lower alumina and lower aluminium price. In Energy, we had also lower result due to less production that is seasonal effect and also relative to first quarter where we had a very high production in energy. In Bauxite & Alumina, we have had lower volumes due to external induced power outages that are influencing the alumina refinery, Alunorte and also due to the fact that Paragominas, is the supplier to Alunorte, it’s also influencing the bauxite production in Paragominas. In the Rolled products, we had the clear seasonal effects with higher volumes than first quarter, but also higher volumes than the second quarter previous years – pre-previous year and we also had a good result on cost upon due to improvement and increased productivity. You are very well aware of the macroeconomic situation, but let me give some comments to the impact on the aluminium business. It’s clear, that in spite of the challenging and uncertain macro-economy in the world, we still see a solid demand growth in aluminium. Let's start with Europe, where we see fairly flat development since last year. The European market is very weak, especially due to the building and construction market which then is influencing very much the extrusion business, which is 50% exposed to the building and construction market, less influencing the rolled products business which is 35% exports to the building and construction market, but we also see in Europe that there is an increased penetration of aluminium in automotive and transport, that is supporting the demand in Europe. In U.S., we saw a strong growth in aluminium demand in 2012, and we see that continue also in this year with driving force as automotive transport but in U.S. we also now see improved development in building and construction, and we see that the housing market in U.S. is now gaining some momentum. In China, it seems that China is in for a soft landing. The growth continues in aluminium. It was about 8% growth last year. So far in 2013, we have seen 9.3% growth in China with a GDP development of about 7.5% growth. We expect about 8% to 10% growth in China this year. If we then look at the supply/demand balance. This curve, we have shown before and the blue line shows the supply and the green area is the demand. First of all, we see that we are now slightly above the pre-crisis level on demand levels. We see clearly the seasonal effects every second quarter during last year’s starting with the second quarter of 2008 in the beginning of the curve and we have 2010, 2011, 2012 second quarter that is the maximum on this curve during these years. So this continues, but we also see that the market now is in fairly good balance. So when we see now also going forward, the expected growth of about 2% to 4% this year, and with announced new and the potential curtailments and also the fact that we have seen the development so far, we expected balanced market this year. The aluminium price went on from about US$2,042 per tonne to US$1,870 per tonne during the quarter as average market price. The realized price is US$1,923 coming down from US$2,042 in the first quarter. So this is 8% reduction in prices during the quarter. Of course the weaker currency of Norwegian kroner and Brazilian reis is influencing on the result, but in general this is level where we have to go back to 2009 to find similar low prices on aluminium. On the other side, we have record high ingot premiums, and as we saw also in the previous quarter this development continues. Ingot premiums is around US$250 to US$300 per tonne, quite stable during the quarter and this comes on top of the LME price, and is supporting high cost capacity to continue operations which – capacity which could be closed on if it wasn’t for the support on the ingot premium. The inventories remained at high levels and we have seen movement from unreported or registered inventories into registered inventories, so that is the reason for the increase in level here, but due to the fact that we have a balanced market in the inventory level in total is stable and we expect that to continue also for the rest of the year, but it is at the high level. However, when we look at inventory days, I should see on this slide, inventory days are trending downwards due to increased consumption. If you look at the alumina price, we saw a weakening trend during the quarter, in line with the weakening commodity prices globally. About 4% less alumina – lower alumina price during the quarter, and due to the fact that aluminium price was 8% lower, alumina price 4% lower, that means that alumina price has increased up to 18% in comparison of the metal price. So now it’s trading around 18% of LME. If we then move to China and take a look at export/import balance, we can start at the bottom and look at the semis and fabricated products, which is similar as we have seen in the second quarter of previous years. The primary metal very much in balance, we see that China continued to be able to supply according to their [ph] own demand domestically. Importer scrap continues at similar levels as we have seen before, and what we see as a continued trend is lower import of alumina, but we have all-time-high import of bauxite. This is very much in line with what we have seen in 2012 when Indonesia were announcing temporary restrictions on export of bauxite from Indonesia to China. We know that China – that Indonesia has announced a ban of exports from January 2014 to China, it remains to be seen how that will be handled, but we assume that the record high import of bauxite to China this quarter is a part of stockpiling in preparation of that export restriction from Indonesia to China, which is also what we saw in the beginning of 2012. The raw material prices, the input prices for production of alumina and aluminium, it has been declining. And depending on where we are now fitting the index, we have chosen to start index in 2010. We still see that aluminium is the weakest – has the weakest development that we want to price 15% down since the first quarter 2010. Due to weakening currency, for example here in Norway, we have some higher alumina costs and all the raw material costs which we also have to take into account during this quarter. If we then move to Brazil and Alunorte, we had two sequential power outages due to external induced failures, where we lost power in Alunorte for a while, which created problems. We have had similar events previously, but not two sequential events within two weeks, that has been creating some problems for us, but we are now talking about 10% of big tanks, we have 116 big tanks in Alunorte and 10%, well then we have now to clean up, it’s both mechanical clean up or chemical dissolution that we normally also use in such situations that takes time. It is not a rocket science, but it takes time to fix this and this is what we are now doing. And we have put teams on board to prioritize and make sure that we come back to normal operation as soon as possible in Alunorte, but due to the chemical dissolution rate of to settle [ph] the material, it’s still influencing also the third quarter – it will have an impact on the third quarter results. If we go to the improvement program that we have announced, we are not changing our ambitions, we are still going to deliver NOK1 billion in improvements from bauxite and alumina in total within 2015, but the speed of this program will be influenced this year, we will have some lower effect this year than what we have expected previously. With regard to mitigating actions, we are now installing in Alunorte backup power systems that we can use in case new failures are coming, power failures are experienced. And we are also taking now the opportunity to lift up the maintenance level in Alunorte while we have somewhat lower production. And as I mentioned, we have from Paragominas supply of bauxite to Alunorte. And with lower production in Alunorte, we also have now – had to reduce somewhat the bauxite production in Paragominas. So let us then move from Brazil to Qatar, where we have our strategically important Qatalum smelter that are now consistently operating above nameplate capacity and it’s – I am very pleased to see that we continue also in Qatalum to see reduced cost levels. There are cost reduction programs even in the new smelter of Qatalum, and we continue to succeed, and are continuing moving down the cost curve with our efforts there. Of course to the cost level is due to the improvement efforts but this plant is also supported by higher premiums for the metal products, and I am pleased also to see that almost the whole metal production is moved into value-added products, that goes to the U.S., Asia, Turkey and the Gulf region. And of course this smelter is supporting our efforts to move it on the cost curve in general as a company. And if you look at the total picture now, we are at US$1,600 per tonne on the estimated cash cost for the total portfolio, meaning that we have a EBITDA margin, within the first half year of US$375 per tonne. You should note that we had EBITDA margin last year of US$300 per tonne when the LME was US$100 higher than what we have now. So the reason why we have higher EBITDA margin now is of course the effect of the improvement programs that are moving, taking us further down the cost curve and give us the better EBITDA margin. This is due to of course the US$300 program that you have already seen, we have talked about previously. We are going to deliver another US$65 per tonne on this program this year. We delivered US$235 per tonne until the end of last year, and we also have introduced improvement program for the joint venture of smelters that are also ongoing, that is contributing. In addition to Qatalum, we also have an improved casthouse margins for all our smelters that are supporting also our position. During the quarter, we also had signed a letter of intent on the new offer, power contract for Slovalco. The very attractive power contract we had for Slovalco is expiring in the end of this year. If we then move to rolled products, we saw better volumes than the first quarter due to seasonal effects, but also higher volumes than the second quarter last year. We had 4% higher sales in the quarter than the first quarter last year, very much driven by can business. Can beverage is of course a seasonal product, and due to the hot summer, that is a good development in the second quarter. In litho and auto, we saw that litho had somewhat lower volume in the second quarter compared to the first quarter, but automotive has increased again in Europe due to higher penetration of aluminium into automotive and transport, due to light weighting of cars. General engineering, fairly similar as we had in the first quarter, but 11% higher than the second quarter of last year, and in general engineering, we have much lower margins today than what we had some years ago. In total, 6% higher sales year-to-date, this year compared to same period last year. If we then move over to Energy, we had increasing energy prices in beginning of the year and the beginning of the quarter, until we had higher than normal precipitation in the quarter which improved the hydrological balance and pressure on the energy prices. So we had now declining prices, but much better hydrological balance. We started the quarter with about 4% below 10 years average, hydrological balance, and ended up 1% above the 10 years average level. And if you take a look at the reservoir filling level in Norway today, it’s about 68% of maximum. The prices are also influenced often lower German power prices, so this is affecting the Nordic market. And we are now operating at a price level which is about 20% below the normal second quarter price level. We have the 9th of July, closed a transaction with Rio Tinto Alcan where we acquired 50% of Vigeland Metal Refinery with accompanying hydropower station. This is a very effective deal for us where we get full control of the high-purity metal refinery at Vigeland in addition to hydropower station that produce 180 gigawatt hour hydropower every year. The Vigeland Metal Refinery is producing is 99.99% aluminium that goes into electronics, computers, telephone, mobile phones, and tablets, in addition to LCD screens. So this is a hi-tech product and with the hydropower station as a back, this is a good deal for Hydro. So then I leave the word to CFO, Eivind Kallevik.
Eivind Kallevik: Thank you, Svein Richard. Good morning to everyone and thank you all for joining us here for the second quarter result presentation in the middle of what I expect is summer holidays at least for some of you. So just we just dive directly into the financial results for the quarter. The underlying results before financial items and tax was NOK518 million for the quarter, down NOK559 million compared to the last quarter. This is reflecting low results in all business areas with the exception of metal markets which was flat and seasonally higher results in rolled products. From an overall perspective, the results were impacted by declining metal prices, LME prices as well as alumina prices. This was partly helped and offset by strengthening of the dollar against both the BRL as well as the Norwegian kroner. In addition as Svein Richard said, much lower – seasonally lower production within the energy area. I will get back to some more details on the individual business areas later on in the presentation. But on this slide, let me draw your attention to the line called other and eliminations. This quarter, we have an underlying EBIT on this line of minus NOK70 million. Last quarter, it was minus NOK38 million. The development here is driven by changes in elimination of internal gains and losses of inventories. If you adjust for this variation, we see that there is – for this quarter a charge of NOK110 million for common services and other activities on the corporate level. This is somewhat down compared to first quarter of 2013. If we look at the high level quarterly results, as I said NOK0.5 billion this year, this quarter down from roughly NOK1.1 billion in the first quarter. Energy is the biggest block, about NOK300 million or NOK0.3 billion, roughly NOK220 million of that is coming from reduced energy production and lower net spot sales of 680 million gigawatt hours, so that’s NOK220 million. Prices in the NO2 area where we have most of our production was also down NOK15 per megawatt hour reducing the income on prices with roughly NOK40 million. On the alumina and aluminium price, as I said both the LME as well as the alumina price per tonne was reduced in dollar terms. This was partly offset by the strengthening of the dollar giving a net result of negative NOK105 million for the period or between the periods. The bauxite and alumina side with the currency effects, that is roughly a NOK140 million net negative. This is offset by better margins and better premiums in particular on the primary side as well as on better premiums also on the bauxite sale side. The last block called other is a negative development between the periods of NOK100 million. This is primarily driven by the lower volumes that we discussed in primary metal and metal markets and bauxite & alumina. This is offset in parts by the improved sales volumes that Svein Richard mentioned for the both business. If we look at the key financials, the revenue line is, for all practical purposes flat between the two quarters. Again it’s the volume and price having a negative effect, and then helped back to balance with the improved volumes in rolled products. This gives us an underlying EBIT of NOK518 million as I explained on the previous slide. This quarter we have excluded or we have items excluded of negative NOK144 million that we’ve taken out resulting in the reported EBITDA of NOK375 million. I will get back to the items excluded on the later slide. Financial items this quarter is quite significant. It is negative item of NOK1.367 billion. Of this, there is a net currency loss of NOK1.291 billion. This is of course the reflection of the strengthening dollar and that has an impact on both Euro positions as well as dollar positions. The income before tax is a negative NOK992 million for the quarter. This gives us a calculated tax for the period of positive NOK279 million due to the currency losses. We do of course have power surtaxes in the period, that’s offset conceptually by different tax rates on non-Norwegian operating entities. This gives a net income for the period of NOK665 million reported, while the underlying income reflecting the way we look at our business is a positive NOK426 million for the period. So just the net financials, negative of NOK1.367 billion. Primary driver of that is the currency situation, giving us a net foreign exchange loss of NOK1.291 billion for the quarter. Of that, approximately NOK500 million is revaluation of external dollar debt, typically in Brazil most of that, with the remaining balance of about NOK800 million comes in the company deposits or in the company balances denominated and in Euro and in dollars. All other effects between the quarters are relatively stable. If we look at items excluded from underlying EBIT, and as we mentioned both in previous quarter and probably all quarters before that, we do exclude certain items from reported EBIT to give you better understanding of the underlying business. And this quarter, we excluded a negative NOK144 million from our underlying results versus roughly NOK372 million negative in the previous quarter. Now if we try to work our way down the table, the first one is unrealized effects on power and raw material contracts. In this quarter, it is primarily driven by the falling LME in addition to reduced coal prices, thus affecting the mark to market of the embedded derivative and (inaudible) contract. Unrealized derivative effects on LME-related contracts of NOK129 million, that reflects mark to market on a long position we have on LME, both in primary as well as in rolled products reflecting the customer pricing. And then the falling LME environment that leads to a loss in the books. The metal effect of rolled products, negative NOK100 million, that is due to lower LME prices and sales reflected in revenues compared to what was reflected in cost through inventories in the quarter. We have NOK86 million this quarter in rationalization charges and closure costs driven by two major factors, partly restructuring program within our rolled business area, and partly driven by transaction and cost – transaction costs related to the Sapa joint venture. So first quarter of 2013, the rationalization charges was mostly related to the corporate subject driven program and if you go back to 2012, you see some significant impacts both on impairments as well as rationalization that is for all practical purposes related to the (inaudible) of the Kurri [ph] smelter in Australia. If we then turn to the individual business areas, we see that’s the B&A result, the bauxite and alumina result has a negative EBIT of NOK244 million this quarter, down NOK181 million compared to Q1. That of course consists of lower realized alumina prices, which was partly offset in fact by lower apparent alumina cash costs for the quarter. As Svein Richard mentioned, the disruptions at Alunorte did have the follow-on consequences for Paragominas. Alunorte is the soul of that bauxite production, giving us 0.5 million tonnes of reduced production at Paragominas between the quarters. The realized prices for alumina were down approximately 8% this quarter driven by LME, but as I said it was partly offset by the strengthening U.S. dollar against the Euro. The negative impact on prices was offset by US$5 on the cash cost, partly driven by better energy mix at Alunorte in the quarter but also helped by the currency reducing the base BRL cost base in at least – in particularly in Paragominas. Due to the reduced alumina sales, that has also reduced the index exposure this quarter, so most of the product that we have sold has been related to LME-related contracts. If we do look at the next quarter, we say stable production volumes. It is of course stable at the very unsatisfactory level as Svein Richard explained, what we should also look for in the third quarter and given those production levels, we do need to source some more volumes in the market to satisfy supply contract so that will lift sourcing costs somewhat in that period. Realized prices for this area do follow the one month lag to LME meaning that in the current pricing environment, there is also a downside to the price on alumina compared to what we realized in second quarter. If we turn to primary metal, we saw a decrease in the underlying EBITDA from NOK364 million in Q1 to NOK237 million this quarter. We saw an approximate decrease in LME prices of US$120 from US$2,043 to US$1,926 this quarter. This negative effect was then further enhanced by somewhat lower sales volumes between the quarters. This was partly offset by increased premiums between the quarters as well as the strengthening dollars as mentioned before. Combined these effects is roughly NOK80 million of the variation of US$120. The other parts, is an increase in raw material costs measured in Norwegian kroner. This was measured in dollars between the quarters, the development is basically slight. In addition, the lower fixed costs or the fixed costs came down somewhat in part up by the US$300 program. On this slide and as Svein Richard also mentioned, it is interesting if you look and compare this also to second quarter of 2012, the LME differential between those two quarters is roughly NOK1,400 lower in the second quarter of 2013 compared to 2012. While if you look at the final reported figure, underlying figure, it is basically flat between the quarters, meaning that the reduced LME prices has been offset by improved premiums between the quarters. It has been improved by better performance and better cost positions in Qatalum, and not at least, we are really starting to see the good effects from the US$300 program improving the cost base for our primary smelters. For Qatalum, we continue to see stable and high production for the quarter, well above what we define as nameplate capacity when we introduced the plant. Sales was somewhat down that is more reflecting the fact that we sold 3,000 tonnes out of inventory during first quarter. The underlying net income is down NOK20 million compared to first quarter reflecting lower sales price, but also in Qatalum as Svein Richard mentioned, we see higher premiums as we are selling more value-added products from that plant. We are I would say very, very happy with the continued improvements in Qatalum, not from underlying cash cost perspective, but also from a production level. We expect this strong performance also to continue going forward. Metal markets, the results are for practical purposes flat between the quarters delivering a NOK147 million of underlying EBIT this quarter. If we exclude the currency and inventory valuation effect we had a result of a NOK109 million this quarter, also flat against a NOK110 million in the last quarter. We see stable remelter volumes, somewhat higher margins in that business for this quarter, but then we have somewhat lower reduction from – somewhat lower results from our sourcing and trading activities. Looking into Q3, this is also a seasonal business, so August is vacation period in Europe. We expect somewhat lower volumes in the remelters. So, and also let me remind you that results in this business area is affected by volatile results in the sourcing and trading and hedging results. Rolled products, we saw good improvement in underlying EBITs. It is up close to 20% compared to first quarter, ending at a NOK181 million, positive EBIT. Shipments up 4% driven primarily by beverage can and foil applications. Average margins somewhat down, and particularly there is pressure on the standardized products in general engineering. Offsetting the margin pressure, we do see a lower operational cost per tonne and we see good, very good continued performance on productivity measures such as tonnes per man hour in the rolled products business. As many of you will remember the first two quarters in rolled products are typically the best quarters in the year, and as such, we do go end up, it will be seasonally weaker volumes in third quarter. And as we always say, we do also expect continued margin pressure in this business. In Energy, we saw a decrease in underlying EBIT of NOK250 million to NOK268 million for this quarter. That is primarily driven by lower production as I said, 689 gigawatt hours lower net spot sales drives about NOK220 million of that reduction. The remaining part is primarily driven by lower prices. Q1, we had average price of NOK311 per megawatt hour. This quarter is NOK296, in the NO2 pricing area, where about two-thirds of the production is situated. We entered this quarter or last quarter – this quarter, sorry, with high prices due to somewhat constrained hydrological balance, and some of you will remember. But through the quarter, we experienced about 60% higher precipitation than normal and spot prices almost halved at the end of the quarter compared to where we started in the beginning of the quarter. Due to this strong precipitation and good hydrological balance, we expect somewhat higher increased production in third quarter, but of course volume and prices is highly uncertain. So far, prices is roughly 20% lower in third quarter compared to what we saw in the second quarter. Moving onto Extruded products, in this period we have realized some underlying income from discontinued operations for NOK112 million. And let me just remind you quickly that underlying income from discontinued operation does not include depreciation reflecting IFRS standards. If we do adjust for depreciation taxes, financial items, we have a pro-forma underlying EBIT of roughly NOK50 million this quarter. That is an improvement of approximately NOK70 million compared to first quarter of 2013. We see seasonally higher sales volume in all areas this quarter measured against first quarter of 2013. Measured against second quarter of 2012, the volumes are still weak as expected. Looking into third quarter, we continue to expect weak volumes in the European extrusion market while we’re in South America as well in North America, we expect the growth measured year-on-year. We go to net cash and net cash developments between the quarters. Some of you will remember that we started the year with – started the quarter with roughly NOK400 million in positive cash. This quarter, we’ve had a positive net cash flow from operations of roughly NOK1 billion. That is comprised by NOK1.6 billion in underlying EBIT. We have released NOK0.5 billion of net operating capital in this period reflecting good operating capital management, but also somewhat lower prices and particularly in the primary side of the business. We have through that backed out NOK1 billion in negative effects, half of that is reflecting cash tax payments for the period and particularly power surtax. The other half is basically non-cash items related to mark to market effects on LME positions in the metal markets area. We have invested NOK0.5 billion this period. This is very much in line with the annual guidance of NOK3 billion for CapEx and it’s also very much in line with the tight capital procedural stuff we are running at the moment in our business. So even after investments, we have a positive cash flow of NOK0.5 billion in this quarter. We have paid dividends this quarter to the shareholders of Norsk Hydro of about NOK1.5 billion, the remaining NOK0.2 billion that adds up to NOK1.7 in this column is dividends to minority shareholders in equity accounted entities. The remaining NOK0.5 billion is basically relating to currency translation effects driven by the strengthening dollars versus NOK. This gives us a net position at the end of the quarter of net debt of NOK1.3 billion in quarter. We do have one new item that we would like to inform you about this quarter that will impact Hydro’s results in the coming quarters. The joint ventures, Alunorte and the Albras aluminum smelter in Brazil have entered into U.S. dollar forward sales for the second half of 2013 as well for the year of 2014, hedging parts of the currency exposures. This will then mitigate the risk of the stronger BRL against dollars in these entities. This secures the cost position of these entities in the low LME environment that we have today creating stability and ensuring focus on improving the operational performance which is especially important for Alunorte, given the issues that we have discussed earlier today. The total hedged amount is approximately US$800 million now, roughly US$200 million of that is hedged for the second half of 2013 on an average price of 2.25 BRL to the dollar and the remaining US$600 is hedged for 2014 at an average rate of 2.37 BRL to the dollars. And important to note is also that we will apply hedge accounting for all these hedges that has been implemented. And with that, I will leave the financial review and hand back to Svein Richard for his summary comments.
Svein Richard Brandtzæg: Thank you, Eivind. As a summary, I would just point to the fact that we have built the top priority to the efforts in Alunorte to stabilize and bring up the production level to where it should be and also to continue to deliver on our improvement programs as we have discussed previously. We continued to keep tight ship with strict capital discipline. And despite the macroeconomic uncertainty, I am pleased to see that we have a healthy global demand in aluminium, and also the fact that we now have balanced supply/demand situation going forward. Thank you very much for your attention.
Pål Kildemo: Then we open up for questions from the audience. We have a microphone here for the benefit of those following us on the webcast. So please wait for this and we also appreciate if you can introduce yourself. Anyone? Yes.
Bengt Jonassen – Carnegie: Yes, good morning, Bengt Jonassen from Carnegie. On the alumina production you are stating that you will see stable production quarter-over-quarter, but when can you think that production will come back to the levels that we saw a couple of years ago around 1.45 million tonnes or 1.25 million tonnes?
Svein Richard Brandtzæg: We – as I said, this is influencing the third quarter result and the third quarter volumes, but we had ambitions to lift that up towards the end of the year, but it’s just too early to say exactly how this will be in the fourth quarter. So we have just seen a (inaudible) that will have an impact in the third quarter.
André Hole Adolfsen [ph] – Nordea Capital Markets: André Adolfsen, Nordea [ph] Capital Markets. It is considered new LME regulations with the intention to hinder the long queue for physical metals to come out of LME. I wonder if it’s possible to give your comments when it comes to the importance on impact and impact also just change in regulations?
Svein Richard Brandtzæg: We are very well aware of this possible changes in the regulations, and there has been some efforts from different parties to make this change happen. I think we will come back to the comments on this in the Capital Markets Day, but we are expecting it could have some impacts, but it’s too early to say exactly on this will span out and we would like to come back to that at later stage.
André Hole Adolfsen – Nordea Capital Markets: But could you give some comments on the timeline on this, when could we get – less expect to hear more from LME or something?
Svein Richard Brandtzæg: Well even maybe (inaudible) come out, I think the status right now is that it’s basically it’s out for hearing among different industry players. That hearing will take place in the fall, in September. And then at the earliest, this will have an impact as of 2014, beginning of 2014.
Pål Kildemo: Are there questions? Okay, then we open up for one-on-one interviews for the media persons here in Oslo on the floor, and I thank you all for coming in. See you next time.